Operator: Good morning, everyone, and welcome to Parex Resources Third Quarter Earnings Call and webcast. Yesterday Parex released its unaudited financial and operating results for the quarter ended September 30, 2019. Like all Parex disclosure documents, the complete financial statements and related MD&A are available on the company's website at www.parexresources.com and on SEDAR. Before turning the meeting over to Mr. Dave Taylor, President and Chief Executive Officer of Parex Resources Inc, I would like to mention that the call is being recorded, so it will be available for playback on the company's website. Parex would like to remind everyone that remarks made during this session are subject to forward-looking statements, which involve significant risk factors and assumptions and have been fully described in the company's continuous disclosure reports. The information discussed is made as of today's date and time and Parex assumes no obligation to update or revise this information to reflect new events or circumstances except as required by law. [Operator Instructions] I would like to turn the call over to Parex's President and Chief Executive Officer. Please go ahead Mr. Taylor.
Dave Taylor: Thank you, operator, and thanks, everyone, for joining our Q3 conference call and for your support of Parex Resources. With me today are Ken Pinsky, Chief Financial Officer; Eric Furlan, Chief Operating Officer; Ryan Fowler, Senior VP, Exploration; and Mike Kruchten, Senior VP, Capital Markets and Corporate Planning. Before we start our Q&A, I'd like to provide an overview to our shareholders on our Q3 financial results, operations and discuss 2020 guidance. Third quarter was highlighted by strong netbacks of US$29.61 per barrel and funds flow from operations of CAD 143 million or CAD 31 a share. With free cash flow of $94 million we repurchased 3.2 million shares and returned CAD 66 million to our shareholders while increasing our working capital to US$280 million. Q3 earnings were CAD 57 million or CAD 0.53 a share. I'd like to give a brief operational update that highlights a few of the key projects where we're making significant progress. In exploration in Q4 2019, we're planning a robust exploration program with wells on block LLA-10, the Tautaco well; and VIM-1, the La Belleza, which are nearing their primary objectives. Also over the next four weeks, we plan to spud wells on LLA-32, the Yodi [ph] prospect; CPO-11, a Daisy prospect; and two Aguas Blancas Southern expansion exploration wells. At Capachos, we anticipate moving a service rig from our workover operation at Capachos-2 to the Andina-3 development well to complete the placement on production in the coming weeks. Construction of the flow line from the Andina pad to the central gas processing facility located on the central pad has been delayed due to a permitting issue to midyear 2020 thus reducing Q4 2019 and the first half 2020 production by approximately 2,500 barrels a day net. We're confident that we will receive the regulatory approval in Q1 2020 to allow for the full line construction to begin in the spring of 2020. With respect to ESG, our commitment to social responsibility and the communities where we operate or have employees continues to be important to the company. In October 2019, Parex jointly with the Chairman of the Board made a CAD 3.24 million gift to the Faculty of Science at the University of Calgary to mark the company's 10-year anniversary. This gift establishes six innovation fellowships intended to support innovators and encourage research with positive social impact. In Bogotá, Parex donated US$1.6 million to the Hospital of Simon Bolívar Burn Unit, the most specialized center for Colombia and also serving patients from the Caribbean, Peru and Ecuador. This is a public hospital treating all patients regardless of income. With our 2020 initial guidance, we're targeting 14% year-over-year production per share growth with a full year production range of 54,500, 56,250 barrels of oil equivalent per day. Including the forecasted increase in working capital on a debt-adjusted basis, we expect to achieve a 23% year-over-year production per share growth. We will have US$520 million to US$550 million in funds flow assuming Brent oil prices of $60 per barrel for the year. We'll have US$210 million to US$240 million of spending for the full year capital program and this includes the drilling of 11 exploration prospects in Colombia. Following the completion of our full 10% share buyback program in 2019, we're anticipating returning more cash to our shareholders in 2020. Subject to the approval of the Toronto Stock Exchange, we plan to renew our NCIB on December 23, 2019 with the intent to repurchase another 10% of the public float or approximately 14 million shares. Parex is unique in our industry as the company continues to generate significant free cash flow against the best-in-class balance sheet. We expect to exit 2019 debt-free with over $300 million of working capital. And based on our $60 Brent forecast for 2020 budget, we will reduce our shares by 14 million and exit 2020 with nearly $400 million of working capital or approximately CAD 4 our a share. This balance sheet strength provides significant optionality to invest in conventional resource growth opportunities, which may include jurisdictions outside of Latin America. With this brief introduction, I'd like to turn the line back over to the operator to start the Q&A. Operator, over to you.
Operator: [Operator Instructions] And your first question is from Darrell Bishop from Haywood Securities. Please go ahead.
Darrell Bishop: Hey, good morning, guys. I just have two quick questions, both related to the 2020 guidance. First of all, with respect to your production guidance, I know you mentioned the flow line potentially reducing 2,500 barrels a day in the first half of 2020. But I think a lot of clients are looking at the 5% growth year-over-year, guys are looking at it as being conservative. So just want to get a break down from you guys on where that capital is going from a development and exploration perspective. And then second question here is just related to some of the optionality Dave that you mentioned that your free cash flow and the cash on hand for next year whether opportunities might lie, particularly you guys mentioning opportunities outside of Colombia in Latin American. I just wonder if you could give more color around what jurisdictions might be piquing your interest right now?
Dave Taylor: Sure. I will start with a second question and I will ask Ken maybe to address the first question. Right now the premise that we have is, we want to be opportunistic given the balance sheet strength and strong working capital position that we have. We believe there should be some high-quality assets on the market as larger companies potentially shed some assets. So we're well positioned to look after some of this and take care of maybe picking up some of those opportunities. What we want to look for is material conventional assets in proven basins with prefer oil, politically stable places that would have strong netbacks, recycle ratios and future growth. So it's kind of a more of a global look at possible places we could invest rather than having a specific place right now. But we would look outside of Colombia and potentially outside of Latin America if we could find opportunities to fit those criteria. I'll turn over to Ken for the first part.
Ken Pinsky: Thanks, Dave. In respect to your comments on capital, in our presentation we have outlined our sources of cash going through to incremental cash at different prices. And you can see that's on page 8 and what you can see is for maintenance capital, which is really production or capital to keep our production flat from Q4 into 2020, we have about 115 million to 125 million with about 100 million of that -- 90 million to CAD 100 million being spent on Block 34 and the rest on various operated properties. On the development side, we have 30 million to 40 million. That's mostly Aguas Blancas and Boranda. We have exploration of 65 million to 75 million and we have up to 11 exploration prospects in Colombia and we detail those in the presentation by block. And then we have a share buyback that we expect will cost approximately 200 million. And then that gives us -- that can all be funded at lower than $60 Brent. So we will -- at $60 Brent we'll still be increasing our working capital from 300 million at the end of 2020 or 2019 forecast to at the end of 2020 approximately 400 million. And this gives us this optionality that Dave discussed that allows us to look for other prospects and opportunities that in this world where we're not seeing any new cash in that business. We think we'll see companies have today to dives of some good assets and we want to be able to look at these and see if they fit within what we want to do going forward with the company.
Darrell Bishop: Okay, helpful guys. I will leave the space for other guys and questions. Thanks.
Operator: [Operator Instructions] The next question is from Al Stanton from RBC Capital Markets.
Al Stanton: Yes, good morning, guys. A couple of largely unrelated questions, just on the -- question about acquisitions in terms of whether you feel there's a need for expand outside of Calgary in terms of the logistics and whether you're actively looking for it. Are there any opportunities you're currently reviewing at the moment? And then the next question would be, would you consider opening offices, let's say, in London or elsewhere to give you a larger geographical footprint? And then as I said completely unrelated to those, I was just wondering if there's any guidance on the spend through next year whether it was first half or second half-weighted? Thank you.
Dave Taylor: Yes, just in terms of acquisition, it's Dave, we're always looking at things that are on the market and especially things that are in our own backyard, which is Latin America or Colombia specifically. And we're just as we mentioned starting to dip our foot in the water outside Colombia a little bit. So we don't have any specific things that we're looking at that I can talk about. In terms of relocating offices outside of Calgary, we haven't talked about that. I'm looking around the table here and none of the guys seem to want to move to Houston I don't think. So we haven't really done that. In terms of the weighting of the capital program, Mike?
Mike Kruchten: Yes. That's probably 60-40 in the first of the year compared to the second half of the year.
Al Stanton: Okay. Cool. Thank you very much.
Operator: [Operator Instructions] Mr. Taylor, there are no further questions on the telephone lines.
Dave Taylor: Thank you, operator. I'd like to take this opportunity to thank you for interest in Parex and your continued support of the company. For further information, we invite you to visit our website or call us. Thank you, again, and have a good day. Operator?
Operator: Thank you. That concludes this morning's conference call and webcast. If you would like to replay the call, please visit the Events page of the company's website under Newsroom. Thank you and goodbye.